Operator: Good morning, and good evening, ladies and gentlemen. Thank you for standing by and welcome to BEST Inc.'s First Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. Following management's prepared remarks, there will be a Q&A session. With us today are Johnny Chou, BEST Inc.'s Chairman and CEO; and Gloria Fan, Chief Financial Officer. For today's agenda, Johnny will give a brief overview of business and operational highlights. Then Gloria will explain the details of financial results. Following the prepared remarks, you may ask your questions. Please note this call is also being webcasted on BEST Inc.'s IR website at ir.best-inc.com. A replay of this call will be available after the call. An investor presentation is also available on the IR website. Before we begin, I will read the Safe Harbor statement on behalf of BEST Inc. Today's discussion will contain forward-looking statements. These forward-looking statements are based on management's current expectations. They involve inherent risks, uncertainties and other factors, all of which are difficult to predict and many of which are beyond the management's control. The Company does not undertake any obligation to update any forward-looking statement as a result of new information, future events, or others, except as required by law. Please also note that certain financial measures that the Company uses on this call are expressed in a non-GAAP basis, such as EBITDA, adjusted EBITDA and non-GAAP net loss. The GAAP results and reconciliation of GAAP to non-GAAP measures can be found in BEST Inc.'s earnings press release. Finally, please note that unless otherwise stated, all the figures mentioned during this conference are in RMB. Now I would like to turn the call over to Johnny Chou, Chairman and CEO of BEST Inc. Johnny, please go ahead.
Johnny Chou: Thank you, operator. Hello, everyone, and thank you for joining BEST's 2022 first quarter earnings call today. In the first quarter, despite the disruptions caused by the COVID-19 pandemic, we continued to serve our customers with operational resilience. BEST Global continued its strong growth momentum and finished the quarter with 25% year-over-year volume increases in Southeast Asia. As we continued with our Strategic Refocusing Program, we are winding down BEST UCargo and Capital business lines to allow us to have a much leaner organization and lower cost structure. At end of Q1, we have a net cash position of RMB1.5 billion that can fuel our future growth. Now let's take a look at each of our business segments. BEST Freight maintained its industry-leading position and continued to grow its e-commerce-related transactions, contributing 22.2% of total volume for the quarter, up 5.6 percentage points year-over-year. Freight has also been implementing measures to strengthening its network coverage and service quality. These efforts have delivered immediate results. In the first quarter, Freight's on-time delivery rate improved by 14% year-over-year. In addition, according to the third-party survey, BEST Freight continued to rank among top companies for the freight service quality. BEST Freight's recovery trend after Express handover continued into the first quarter. The freight volume and network stability has been improved. However, resurgence of the pandemic have significantly impacted the logistic industry and our operations. Some of our main sortation centers and part of our transportation fleet was restricted due to the pandemic. Freight's first quarter volume decreased by 13.5% year-over-year. Looking ahead, even though there are uncertainties related to the macro environment and the pandemic, we will continue to focus our efforts on improving freight's network capabilities and the service quality, as well as on synergizing with Supply Chain Management and Global for additional business opportunities. We will also continue to use automation to increase operating efficiency and reduce costs. We are confident thereby optimizing these operational fundamentals. We are prepared for future growth and profitability. Moving on to BEST's Supply Chain Management. Supply Chain Management remains our key differentiator as it empowers our customers with digitalized end-to-end logistics solutions. We continue to leverage our expertise and the industry reputation to expand and deepening our presence in apparels, fast-moving consumer goods, auto parts and pharmaceuticals industries. In Q1, we have signed 11 new key account customers that will continue to strengthen our industry leadership position and accelerate our growth. During the quarter, we continue to grow our B2B2C fulfillment network and distribution capabilities while reinforcing the service quality and prioritizing higher-margin accounts. In the first quarter of 2022, our customer satisfaction rate had reached 99%. As a result of a discontinuing certain low-margin legacy customers, the total number of orders fulfilled by Cloud OFCs decreased 13% to 87 million, of which the total number of orders fulfilled by franchised Cloud OFCs increased by 2.4% to 54 million year-over-year. Supply Chain Management is a heart of our cross-segment synergies, which can significantly benefit Freight and Global's key account and cross-border business by supporting its customer's transportation and global logistics needs. Among SCM's top customers, more than 20% use our Freight services. Now let's talk about BEST Global. BEST Global has entered into a new stage of growth after successfully completing its initial ramp-up phase. Our two plus years in Southeast Asia, Global has established strong service and network capabilities for future growth. Global continue to gain market shares in Southeast Asia, despite the ongoing pandemic and disruption in its supply chains. The parcel volume reached over 38 million in the first quarter, up 25% year-over-year. Parcel volumes in Vietnam, Malaysia and Singapore, increased by approximately 68% and 72%, respectively. In addition to the positive development in Southeast Asia, our U.S. business reached a breakeven last year and continued to be profitable in Q1 2022. Going forward, Global will continue building out its information technology and infrastructure to improve quality and operating efficiency. In Southeast Asia, we will focus on reinforcing network stability and reliability as well as improving franchises' operational capabilities. In addition, we will leverage our Supply Chain Management's expertise to establish country-to-country smart logistic solutions for local, cross-border and regional operations. This will allow us to provide better product offerings to our customers and continue our high growth trajectory. Looking ahead, we believe the activities of supply chain and logistics business will pick up quickly in China and Southeast Asia as the pandemic ease. Information technology-driven and integrated supply chain and logistics solutions will be in high demand to support such growth. BEST's strengths in technology, domestic and international end-to-end supply chain and logistics capabilities, as well as our broader customer base in China coupled with strong cash position will allow us to capture this growth opportunity and on the path to profitability. Now I would like to turn the call over to our CFO, Gloria for further review of our first quarter financials. Go ahead, Gloria.
Gloria Fan: Thank you, Johnny, and hello to everyone. Our first quarter revenue, excluding UCargo and Capital, declined by 4.6% year-over-year. The pandemic has created a various bottlenecks that significantly challenged the logistics industry. Our Q1 performance is a testament to our strong business resilience. Our balance of cash and cash equivalents, restricted cash, and short-term investments were approximately RMB5.3 billion at the end of the first quarter of 2022. Supported by our robust balance sheet, our emphasis on service quality and operational efficiency will strengthen our core competencies in Freight, integrated Supply Chain Management, Global logistics solutions, positioning ourselves for future recovery and building a solid foundation for sustainable growth and profitability. Now, let me walk you through our financial result for the first quarter of 2022. Our revenue for the first quarter was RMB1.8 billion compared with RMB2.8 billion last year. The decrease is primarily due to the winding-down of our UCargo business unit. UCargo's Q1 2022 revenue were approximately RMB19 million compared with RMB869 million in the same quarter of 2021. Due to the rising oil price and additional cost resulted from the pandemic, our gross loss for Q1 was RMB76.8 million compared to a gross profit of RMB51.7 million for the same quarter of 2021. Gross margin was negative 4.3% compared to positive 1.9% last year. Net loss from continuing operations for the first quarter was RMB379.9 million compared to RMB191.2 million last year. Adjusted EBITDA for continuing operations was negative RMB294.6 million compared to negative RMB98.5 million for the same quarter of 2021. Next, moving on to key financial highlights for our business units. For BEST Freight, we remain focused on expanding its e-commerce-related business and improving our service quality. As we are winding-down UCargo business, its financial results are now consolidated into [three] business segments. In the first quarter, Freight Service revenue was approximately RMB1.1 billion compared to RMB2 billion for the same period of last year, primarily driven by the decreased UCargo revenue of approximately RMB849 million. Excluding UCargo, freight's revenue decreased by 8.6% year-over-year, primarily due to a 13.5% decrease in freight volume, partially offset by a 4.5% of ASP increase. As gross margin was negative 7.1%, 7.7 percentage points lower year-over-year due to higher oil pricing and additional costs resulted from the pandemic. Adjusted EBITDA for BEST Freight was negative RMB149.9 million compared to negative RMB32.9 million last year. Q1 revenue for BEST Supply Chain Management decreased by 8.6% year-over-year to RMB409 million, primarily due to discontinuation of certain low-margin legacy accounts. Gross margin was 4.3%, 1.1 percentage point lower year-over-year, primarily due to lockdowns of certain warehouses resulted from the pandemic. Adjusted EBITDA for supply chain management was negative RMB8.5 million compared to RMB167,000 in the same period of 2021. For BEST Global, Q1 revenue increased by 7.3% year-over-year to RMB269.7 million driven by solid cargo volume growth in Southeast Asia, its gross margin was negative 6.3% decreased by 0.4% primarily due to higher fuel price and additional costs associated with the pandemic, partially mitigated by its increased volume. Q1 adjusted EBITDA for BEST Global was negative RMB63.4 million compared to negative RMB51.9 million last year. Our operating expenses excluding shared-based compensation totaled RMB267.5 million or 14.8% of revenue compared with RMB262.9 million or 9.4% of revenue in the same period of last year. Selling, general and administrative expenses for continued operations were RMB235.7 million or 13% of the revenue in the first quarter compared to RMB224.7 million or 8.1% of the revenue in the same quarter of 2021, mainly due to additional expenses associated with winding-down the Capital business line. R&D expenses for continuing operations were RMB31.9 million or 1.8% of the revenue compared to RMB38.1 million or 1.3% of revenue in the same quarter of last year. Now turning to our outlook. Due to the uncertainties relating to the COVID-19 pandemic and its recovery, the company's previous guidance will no longer be in effect. However, we see a high demand in technology-driven, integrated supply chain and logistics solutions in China and globally. We are excited about our business prospects and have full confidence in our ability to emerge stronger from the market challenges and to deliver long-term benefits to our stakeholders. With that, we will now open the call to questions. Thank you. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions]
 :
 :
Operator: As there are no questions, this concludes our question-and-answer session. I would like to turn the conference back to Gloria Fan for any closing remarks.
Gloria Fan: Okay. Thank you, operator. Thank you, everybody, for participating in today's earnings call. If you have any additional questions, please contact our Investor Relations team. Okay. Thank you, everybody.
Johnny Chou: Thank you very much.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.